Ben Page: Good morning, and welcome to Ipsos' 2024 Results Meeting, and thank you to everybody joining us in the room in Paris and to other people online. And it gives me pleasure to take you through the latest numbers and to update our investors on what is happening inside the business. So looking back at last year, of course, you will have noticed that we have maintained good profitability despite lower growth by careful control of costs, and we've also achieved a very good level of cash flow generation, which is reassuring. And I think a credit to the managers in the business in terms of controlling costs at a time when growth has slowed down. It was, in some ways, a year of contrasts. We had a good performance in Europe, a good performance in the Middle East and in LatAm. Our Ipsos digital solution grew again by 30% and our CPG clients who are our historic core clients showed resilient demand for the second year in a row. We continued to make acquisitions. I think we've now done 15 since 2023. And we launched, of course, many AI solutions, which I'll talk about today. The gross margin improvement of 120 basis points is encouraging. And of course, client satisfaction has remained at 9 out of 10. So again, all of those things are good. But of course, there is a but, and the but is headwinds, particularly in the United States, which makes up a large part of our revenue and of course, the majority of this industry globally. And there, we had a very mixed performance. Some parts of our business there actually performed incredibly well, particularly platform-based businesses, but others like government, public sector, health care were not where they needed to be. And I'll talk about what we're doing about that. Overall, if you look at the state of the world and indeed, the news headlines, thanks to the new U.S. President are never more exciting, it seems. One word is uncertainty that we can see. We've talked about that in this room before. But last year, we saw France and the U.K. with political upheavals leading to a slowdown in orders and in some parts of Asia. In China, we outperformed the market by some margin, and we are #1 in that market, but we saw very limited growth. There was no real recovery. And all of those headwinds, of course, have reduced Ipsos' overall growth. So overall revenue up 2.1% at EUR 2.4 billion. Organic growth, though, at 1.3% with a scope effect of 2.3% and a negative FX effect, particularly with the dollar at 1.5%. All of those things then mean that while we've got strong profitability and cash generation, the 120 basis point improvement in our gross margin to, I think, a record level at 68.7%, a maintained operating margin even as we continue to invest in AI and technology and of course, very strong free cash flow, up from EUR 168 million last year to EUR 216 million this year. Those are all positive, but of course, we need more growth. And I'd now like to hand over to Dan. I'll take you through later our outlook for the year. But Dan, please take us through the detail on those numbers.
Dan Levy: Thank you, Ben, ladies and gentlemen. Good morning. I'd like to begin with the regional breakdown by growth. As Ben said, mixed results by regions. EMEA, the most significant in our regions, posted growth of 5.5% with double-digit growth across major geographies. Italy, Germany, Belgium, Netherlands and Middle East posted very good growth. However, as Ben said, in France, but also in the U.K., our activity suffered of a climate of uncertainty, notably owing to elections in France and the second part of the year, and that weighed on client demand in Europe. It's worth noting total growth comes in at 8.4%, three point contribution of acquisitions linked to the acquisitions of I&O in the Netherlands and Germany and the U.K. Americas, Americas LatAm delivered good performance, close 10% organic growth, but the full region is down given a decrease in business in the U.S. in the order of 5%. In the U.S., political uncertainty around the presidential election as well as general drop in professional services, not just market research weighed on our business, in particular, public affairs and health care is the most impacted, whereas we delivered good performance across the consumer analysis. Ben will return in a moment in greater detail to the U.S. What's important to note is organic growth of the group, excluding the U.S. comes in at 4.5%. That's a very commendable performance. APAC region, we delivered growth of 1.6% organically in China, hardly any economic recovery business is flat, but we're outperforming the market in China, as Ben mentioned. The rest of the regions up slightly over 2% with a slowdown during the course of the year, notably in India after a very good performance in previous years. 2023, we posted almost 20% growth in India. Turning now to the split of growth by sector. Our activity with consumer clients, that's about 1/4 of our business is faring well in '24, organic growth of 6%. This reflects, in particular, the good maintenance of our innovation product testing and ad testing and also illustrates the relevance of our Ipsos digital do-it-yourself platform, as Ben said, up 30% in the major [indiscernible] of the consumer sector to understand consumer dynamics, an increasingly complex world. 2024 marks a return to growth of the major tech clients overall, even if the situation between these players is a pretty mixed bag, keen competition between major tech players on all issues pertaining to Generative AIs with very sizable investment amounts. And for Ipsos, this means that part of the demand has shifted from the marketing teams of the clients to product development teams, far more upstream in the product cycle, upstream of innovation. We, of course, adjusted to the change. On the health care sector, 2024 was marked in the U.S. by continuing restructuring in some of the clients in the pharma industry, declining sales because of the expiry of major patents, level of drug approvals lower in the U.S. than in 2023, one of our business drivers and a degree of uncertainty regarding health regulations, notably with the advent of the new Trump administration. Public sector, our business aside from the U.S. is up in spite of a significant number of elections in '24 across the world, but in the U.S., our business was hurt by uncertainties surrounding the U.S. Presidential Election as well as internal organization and legal issues that are addressed, and Ben will return to those in a moment. I've put here the revenue split by audience. I won't comment. It's broadly summarizes what I've just set out on the sectors. We continued our acquisitions road map. As Ben said, 15 acquisitions achieved since the beginning of 2023, essentially in public affairs with I&O Research in the Netherlands, Infas in Germany. As you probably noted, yesterday, we announced the acquisition of Ipec in Brazil. We strengthened data analytics acquisition of Germany in the U.S. that's in the U.K. That's going to be key for market research going forward. We analyze together combine very, varied data, structured, unstructured data, quantitative, qualitative data from social networks, client CRM surveys, this ability to get all these data to interact will be key going forward. So this Germany acquisition is key in that respect. Turning now to the P&L, I've already amply discussed top line growth, 2.1%. Gross margin held up very well in 2024, sharply up by 4%, as shown here, significantly more than revenue growth with gross margin up 120 basis points. The growth of Ipsos Digital, as I mentioned, up 30% in '24, also linked to efficiency gains achieved in our operations, thanks to investments undertaken increasingly has allowed us to internalize our own panels. And lastly, business mix effects. The payroll is just up 3% even if it's not shown on this slide. We adjusted during the course of the year our headcount in terms of activity across our market. Automation and digitization continues to drive efficiencies. Payroll over gross margin is improving in 2023, 4.5% -- at 65% -- at against 105% in '23, SG&A up close to 10% on the back of our tech road map and investments in platforms and panels, but SG&A of a gross margin ratio is way below what it was pre-COVID. So as you can see all in all, operating margin comes in at 13.1%, demonstrating once again, and this now for 2 years, Ipsos' ability to preserve its profitability in a context where growth is weaker than anticipated. Adjusted net profit, the group is up close to 7% at EUR 244 million. Adjusted net per share at EUR 5.7. Turning to cash flow generation, EUR 430 million as against EUR 413 million last year. WCR, EUR 18 million, a significant improvement over last year. Last year, we were in a negative contribution of EUR 65 million. We invested in '24 for about EUR 70 million, up over '23 and once again, in line with our strategic tech road map and CapEx in panels, platforms and Gen AI. And all in all, free cash flow comes in at EUR 216 million, up EUR 47 million over last year which is, of course, a very good level of cash generation. And below free cash flow, we -- EUR 39 million of acquisitions. The acquisitions of I&O and Germany mentioned previously, we bought back EUR 39 million of shares as part of the employee share program, and we paid EUR 71 million in dividends and cash position at closing, EUR 343 million. That's up EUR 65 million over last year. Lastly, the group is in an excellent financial position, very strong balance sheet. We have a level of debt that very low, EUR 57 million, down EUR 63 million over last year and leverage, net debt EBITDA almost nil at 0.1x. In terms of liquidity and having been rated investment grade by Moody's and Fitch to Baa3 with a stable outlook and stable outlook from Fitch, a bond issue of EUR 400 million early '25 5-year maturity. That was an issuance that was very successful, 10x over strong tightening of spread, very satisfactory coupon. This new bond issue will allow us to reimburse the bond of EUR 300 million maturing in September this year. So once this reimbursement has done, Ipsos will have no significant debt maturity before 2030. So an excellent level of liquidity. Thanks for your attention. Back now to Ben for a more business insight.
Ben Page: Thank you, Dan. So let me just take you through a little bit more detail and color on what's going on inside the business. The first key question, of course, is what's happening in the United States. Outside the United States last year, the business grew by 4.5%. With the U.S., it only grew by 1.3%. And in some ways, we're in a very strong position in the U.S. We are -- we have very good client relationships. We have a very comprehensive range of offers and solutions. We are a place where people want to work. We have no trouble recruiting talent. We've got some great thought leadership coming out of the U.S. And of course, they're able to use our global network to sell. At the same time, I think we've seen certainly macroeconomic, but also, of course, political uncertainty in the U.S. during 2024. There is a general decline in demand for professional services in some sectors. And we can see that while our CPG business and CPG clients in the U.S. are growing well, our government business needed a refocus. We have got 2 new very strong managers there now who joined in the last few months. And despite anything DOGE may or may not do, I think we're on the right tracks. Health care, similarly. And actually, next week, we will announce the new Global Head of Healthcare at Ipsos. And then I think overall, in terms of the leadership in the U.S., now we've got a new leadership team in place. Those changes took a bit of time to find the right people and get the right structure. The global leadership team spent a week there in January with the U.S. leadership team. And I think the changes that we need to make our NAM in place, and we should start to see recovery. It's focused around 3 key pillars, obviously, revitalizing those businesses like public affairs, like health care that have been responsible for a lot of the decline, really focusing in and leaning in where we can see great growth. So our Ipsos digital solution, which is selling well, our data analytics businesses in the U.S., our ad testing business, innovation and customer experience, again, all -- nearly all platform-based businesses and all performing strongly. And then, of course, looking at the opportunities there for Gen AI, more analytics and yes, M&A in the U.S. And that's something that we've made a number of good acquisitions around the world. We're still looking for good acquisitions in the United States. So that's the U.S. On tech and AI, which is on everybody's lips, an awful lot is going on. And when one stops and steps back from the trees to look at the forest, just thinking about AI in our business, in our industry, we have over 13,000 people at Ipsos now, many more than any of our individual clients in market research, who are certified in the use of Ipsos Facto, a platform that is added to daily in terms of the sophistication of what it can do and which, of course, didn't even exist 2 years ago. So just showing how quickly things are changing. Ipsos Digital on a good growth trajectory, of course, double the level of profitability of the rest of the business. Clients and our staff love it because it's much, much faster. It's available 24/7 with DIY tools. You can go on your phones now and launch a survey with a credit card if you want to. And it allows us to roll out very rapidly new solutions like Creative Spark AI, FastPack testing, et cetera, and I'll talk a little bit about those. Similarly, on Gen AI, we launched a whole host of new solutions during 2024. And indeed, we've just announced our partnership with Stanford University in the U.S. to work on synthetic data and AI, and I'll talk about that in a second. Highlights, I think, perhaps 3 of those that I would draw your attention to. The first is InnoExplorer. And this is where we can take the 150,000 different ideas and concepts that we have tested in the past and then see how new ideas of our clients, new innovations compare with those with fresh new consumer data. Creative Spark AI does something very, very similar to predict reactions to advertising in just a few minutes, again, using Ipsos Digital. And I'll give you an example of how that's being used to produce one of the best ads at the world's biggest advertising event, the Super Bowl this year. And then Signals GenAI. This takes our host of data that we have gathered from social media over the last decade and then allows clients to analyze that in just a few minutes or even seconds. And indeed, L'Oreal say about this that if they had this product a year ago, in some of their work that they're doing looking at, for example, women, beauty and mental health, they literally say it would have saved them a year of thinking in terms of its ability to analyze data that just wasn't possible in a way -- in any way before. So just 3 examples of the Gen AI solutions that we're now -- we now have out in the market. In 2025, of course, we will continue to roll it out, looking at ideas like synthetic users. One of the challenges in market research is that certain groups of the population are harder to find than others. Can we use generative AI to create synthetic characters to replace people that might be harder to find. We will test that, and I'll talk a little bit about that. Agentic AI is hugely important. This is the ability of AI to have a conversation about data. It can host a conversation with a community, replacing a human moderator, but it can also become a persona for a client to talk to about a segment in computer in their market that they're looking at, that we have looked for them or created for them or indeed about their entire history of data. And now rather than having to think about what was it and what do I want to ask, you can have a conversation with an AI that reasons and looks through the data and adjusts its answers. And so that's going to be incredibly important as we go forward. Image analysis, again, our ability to start ingesting more and more video and sound to really understand what people are saying and dig into that. And of course, social and text analytics, which I've already talked about. Insights that -- new ideas that were just lurking in the data that couldn't be found very easily or would have taken months and months of research to identify can now be found in literally just a few seconds. So those will -- all of those will continue in 2025. And on synthetic data, I think this is, of course, an area with huge potential. We spend hundreds of millions each year on data collection and on interviewing people. If you could replace some of that with synthetic respondents based on large masses of data. You have instant access to potentially unlimited data sets. You have the ability to look at target groups in much more detail very quickly, incredibly cost effective and of course, no privacy concerns. And to make that work, you need things that only a few companies have, and one is access to proprietary data particularly if you're looking at things like ad testing, if you're looking at things like innovation and new concepts, you need high-quality data. You need regularly updated data. And you need the ability to compare what the synthetic models with AI are telling you with what real-world evidence from real people tells you. I was in China for a week last week, and I was fascinated to see my Chinese teams work for one of the biggest dairy producers in China for their advertising during the Paris Olympics last year. The client was challenging our Chinese team to go faster, and they were able to build a whole collection of persona bots, so creating these individuals based behind them on a vast amounts of data and then get those to react to advertising with great effectiveness. And we will need to keep validating these ideas, but 75% to 80% accuracy. Our colleagues at Stanford are claiming that we will be able to. Again, it needs to be validated -- they claim that we would be able to get to 90% accuracy. But we are very aware because we are fundamentally researchers and used to looking at real-world data, and that is what ultimately Ipsos is about. We are very aware of potential downsides. One is just biased data or biased interpretation based on whatever else is in the model, potentially inaccurate insights or even worse, perhaps just mediocrity. And that is something that we have already seen in some uses of AI to replace qualitative research, which I'll talk about. And then, of course, there are a whole set of legal and reputational risks that we're very, very aware of. We are publishing a series of papers as we progress in this area. They're on our website, looking at responsible adoption, looking at things like product testing. But it's a very, very exciting area. It's one of the biggest shifts in this industry in recent years because we've always, of course, used algorithms. We've always imputed data but Generative AI allows us to do it at much more scale and speed than we were ever able to do in the past. In terms of working with our very diverse range of clients, and the great thing about our clients is that we very, very rarely lose one. I was just looking at the data with Dow. And I think out of 397 major clients that we are working with in 2023, only one didn't work with us again in 2024. We have these long ongoing relationships because we're able to bring value in areas like GLP-1, the wonder weight loss drug that has taken America and parts of Europe by storm. And this is, of course, incredibly important. It has all sorts of benefits. It may turn out to help with other disease -- more than just obesity, but also things like potentially diabetes. We are tracking how patients are using it. We are tracking how physicians are now prescribing it as this drug takes off around the world, helping drug companies, pharma companies understand how drugs are actually being used in the real world, how they need to refine their messaging and communications. And of course, also looking -- and this is very important to our non-pharma clients, particularly in food and beverage, where if your appetite is going to disappear or your taste for alcohol is going to change, we need -- clients will need to know what it might mean in the future. So we are measuring that for them as we speak. Elsewhere, we are looking at the usability of technology. And all businesses in Europe need to comply with new EU regulations, which come on stream in June this year around the accessibility of our websites and our data. And so one of the things that are growing and had a very good year in 2024, our UX business, which works for some of the biggest tech companies in the world and the tech sector was back to growth with Ipsos last year. But here, identifying accessibility issues for different sorts of people, a large percentage of the world's population as we all get a bit older, has disabilities of various kinds, making sure that they're accessible doing manual audits and use a real-life user testing to find the issues that perhaps scanning a website with a computer would miss and building now, we're able to then build for them a remediation plan. So some really interesting new services that we're offering. For established clients like Danone, some great work on innovations being chosen by Danone as their global innovation partner, using our Ipsos digital very fast, very accurate, ability to measure the potential of many, many more new ideas than we were ever able to test in the past, looking at those ones that can then be scaled across 30-plus countries. And the fact that we have our footprint in 90 markets is hugely important in this context. And then, of course, under checking the learnings with AI, mixing human intelligence and AI. For Pringles, you may like these things. You may not. Personally, I'm prone to them. But a really interesting example here of using the Creative Spark solution, which tests consumers' reactions to advertising. Of course, this is the Super Bowl, it is the most expensive set of advertising slots in the world. Here, for Pringles, we took 3 different ideas, tested the one that was going to be most successful and then helped them identify exactly how they should optimize that ad ultimately, the proof of the pudding, as we say, in England is in the eating. And when it was aired, it was one of the best performing at the Super Bowl based on Ipsos research. So great to see that happening. For Microsoft, one of the world's largest tech companies, we're working there with our Jarmany business, our data analytics business to help them improve their own commercial forecasting. And you might say, surely, Microsoft doesn't need Ipsos to improve its commercial forecasting. But actually, in our portfolio of businesses, we have some unique skills, some unique abilities to build statistical models that then help them improve their accuracy. And in terms of analyzing the vast amount of data that's available at Microsoft. And this business, Jarmany, just works by analyzing client data. It doesn't collect new data. We cut it down from what was taking them 2 weeks to 2 hours on average. So even in a very complex ecosystem, there's a very important role that we can play in data analytics. Another interesting tech-led solution is Route. This is a project that looks at out-of-home advertising, and we have this in the U.K., in France and a number of other markets. In the U.K., we are measuring the value of hundreds of thousands of sites across the U.K. to work out if you are an advertiser, the price you pay. So whether it's in Piccadilly Circus on an enormous spokes poster or even on a small sticker on the London Underground, the machine with the smartphone app that we've built and the algorithms that we've been able to develop has meant that we've got a world-first innovation in terms of giving advertisers confidence in the price that they pay on each of those sites using machine learning and AI again. So again, really, really encouraging to see that. We've also, of course, won a lot of prizes in different events and seminars, conferences around the world. One of the ones that we were most proud of is the work that we did on empathy or emptiness, looking at the application of AI in qualitative research. And this won the Global Best Paper Award last year in our industry body, SMR, but also for the first time ever, the Peter Cooper Award for Best Qualitative paper, which again, for us, this is all good stuff. And it's great to see that recognition, a really thoughtful examination of where AI can help and where risks actually just producing very dull bland answers. So we're working hard on that. We were also mentioned by Newsweek as one of the world's most trustworthy companies last year, one of the best companies by Time, a climate leader by the FT, one of the top companies for women in 2024. We've continued to increase the proportion of women in senior management roles at Ipsos and perhaps most importantly, by our clients in the GRIT report, again rated the #1 most innovative insights and analytic company in the world, which again was great to see. In terms of ESG, in some places, ESG is no longer fashionable. At Ipsos, we do not change our principles when governments change. We are -- we believe in climate change. We think it's happening. We think we have to play our role. And we believe also that making sure that we are as representative of the world that we seek to understand as possible in terms of the diversity of who we employ to help us really understand is actually a superpower at Ipsos. So on overall, on climate change, our near-term and net zero targets have now been validated by the Science-based Targets initiative. We have set ourselves a pretty challenging target of 50% reduction in direct emissions by the end of this decade and also cutting our suppliers emissions by 27.5%. And of course, by 2050, we'll have done 90%. It's a challenge. It's a challenge that I think many of us and many people -- for our young people, it is a real motivator that we are making progress in this area and that we take it seriously. And on that, we've got very good. I talked about our client satisfaction earlier, but actually, our people satisfaction is just as important. Market research isn't the best paid industry in the world. We want to pay people well and fairly. It doesn't pay as well as investment banking. But what's nice to see is that 89% of people now say they're proud to work in the company. That's up 5 points. Engagement is at, I think, a near record high. And that's really important because it is that discretionary effort by tens of thousands of people all over the world that lets us deliver for our clients and for our investors. So with all of that, what do we say about 2025? What's the outlook that we can see? And I think the first thing to say is any of you know exactly what's going to happen in tariffs, world trade, geopolitics this year, please come and see me afterwards because it's a pretty exciting time. I think what we can say is that the dividend, subject to a vote at our AGM in May, will increase to a record EUR 1.85 per share. We have record earnings per share this year. We want to share that back with our investors, which is you and me. And so it's good to see that, subject, as I say, to a vote. And on the outlook, I think given the level of uncertainty and the fact that the visibility that we have at Ipsos on our revenue is around 3 to 4 months, we can say that organic growth should be above 2024. The operating margin at constant scope around 13% as we continue to invest to enhance our competitive position and also improve, hopefully, our gross margin. But those are where we sit. And with that, I look forward to seeing you again soon. We have on the 17th of April, our first quarter results, which will start to give us more visibility on 2024. And of course, our AGM in May when we'll discuss again exactly what is going on. But with that, I'm very happy to take your questions, and thank you.
Q - Mohamed Mansour: I'm Mohamed Mansour with IDMidcaps. Two questions for me. First, on the U.S., did you lost market share in health care in the public sector or it was just the market dynamics? And the second question relating to capital allocation. Why you don't do a share repurchase program higher than the actual one versus increasing dividends?
Ben Page: Do you want to take them in reverse order?
Dan Levy: Yes. Okay. So I'll take the capital allocation. So I think it's pretty clear that our priorities in terms of capital allocation are the priorities which will enable us to grow in the future. So basically, it means acquisitions, M&A; and second, investment in our panels, in our platforms in Generative AI as well. So that's clearly the top priority. On the top of that, obviously, we pay dividends to reward our shareholders. Now if it were that in the next few months, our acquisition program was not as quick as expected, we could look at the possibility of buying shares back to do some cancellation, but this is an option that is left if the top priority, which is basically M&A investment doesn't go as quick as expected.
Ben Page: And on the public sector and government business and opinion polling business in the U.S., we've lost -- it's around a few very major contracts that weren't repeated or were lost. I guess you could say there are -- there is also uncertainty in the market. So exactly how the market share gets defined is actually a little bit tricky there because we're in a number of different markets in that business. In health care, I think in general, we can see that there is just -- there is a lot of competition. There has been a shakeup in the Life Sciences business post pandemic. But again, I think we can see a way through in terms of what we need to do and how we refocus that business.
Unidentified Analyst: David from Berenberg. Two questions on my side, if I may. As you mentioned, the visibility is weak. But just in regard to your growth guidance for 2025, what scenario would enable Ipsos to finish the year stronger? And what are the main triggers that could drive this? And my second question is about the new Services segment. 2024 was another outstanding year, especially with the help of Ipsos Digital. But it seems that new services in Q4 slowed down a bit compared to the first 3 quarters. What happened in that segment? Is there anything particular to flag? And how should we imagine the segment going into 2025?
Ben Page: It's an interesting one. I mean I think global stability would be quite good in terms of encouraging large buyers of market research to have confidence about investing. When that will return is tricky. No, I think there are -- it's also a very diverse situation. And remember, this is the challenge. We've had very good growth in Europe this year. Actually, the European economy was probably weaker than the U.S. economy. So there's a whole mixture of things going on. But overall, some more clarity for some of our clients would help. A massive tariff war that put lots of pressure on big companies and on big CPG companies would probably be less good. But at the moment, how that will evolve. I mean, much of what we hear from the White House seems to be performative. So working out how that actually lands, I think, is unclear.
Dan Levy: And maybe we can add to that, that it's important to see that there are significant base effect compared to last year. Actually, the pattern of last year was a strong Q1 and then slowdown during the rest of the year. And that will play obviously on the pattern of 2025. So this is why in terms of progression during the year, we expect a year where we'll have stronger Q2 than Q1 probably and then probably stronger H2 than H1, which enables me, by the way, to answer your second question, which is you shouldn't be drawing too quick conclusions about the performance quarter-by-quarter. On the new services, the fact that Q4 is actually lower than Q3 doesn't say a lot in terms of the business dynamics. It just says basically that there was a strong negative base effect last year because in 2023, we grew by 8.8% globally at the group level, and this obviously plays on the Q4.
Ben Page: I mean it's quite interesting because of -- in some ways, you could argue that a calendar year is an arbitrary cutoff. So when you look at 2023, it looks like that during the year. You look at 2024, it looks like that. This year, again, we're expecting it to be more like that. And that's very important in terms of the progression of revenue this year for everybody to remember. Anybody -- any questions online?
Operator: Question from the conference from Emmanuel Matu with ODDO.
Emmanuel Matot: I hope you hear me well. Three questions for me. First, would you say that artificial intelligence is increasing barriers to entry? Or does this technology allow new players to enter your market with more pricing pressures? Second, your gross margin rate is constantly increasing year after year. How high can you go in the long term, knowing that you are now close to 70%? At the same time, how do you explain that we don't see any positive impact from automation in your staff costs that are increasing in percentage of sales in 2024. And my last question, do you think the new Trump administration put a lot at risk your public affairs business in the U.S. Have you seen any first negative impact during the last weeks? Are you still considering acquisitions in that segment in the U.S.
Ben Page: Okay. So on AI, I think it's -- there are barriers to entry because you need to make it work and to have a unique advantage. After all, you or I can go on to Block 3 or any number of platforms and start doing research using AI on our desktops. What you need to have is a body of data to train it on. And that's where our -- and this is our 50th anniversary this year in October. Our 50-plus years of data mean that we are in a very strong position. And that's, of course, I'm showing you some of those products. The competition can't create those. You can't create a track record of 150,000 concept tests. It's not possible. So in real-world evidence rather than just stuff scraped from somewhere else. So I think there are barriers to entry. There are certain areas where it is disruptive, but we are used to disruption. If you look at our growing customer experience business, that is in a sector that has been highly disrupted by the arrival of Medallia and Qualtrics which are 2 platforms which have actually taken away a lot of data collection activities that we used to do. But actually, we are now -- of course, we have adapted. We are now adding value to those platforms. They want to be software companies, not professional services businesses. So I think that as we have in the past, we can adapt. And I believe that overall, the longer-term gains in productivity, and I want to talk to that on the margin point. Dan will say something as well, means that overall, it still has more potential than threat to us. But it is -- it will mean that certain areas of activity has happened with online research in the past when online research -- the arrival of online research meant lots of businesses that would have had to perhaps commission a telephone survey from Ipsos to find something out could start sending out e-mails and doing it themselves in the same way, and we grew successfully through that transition in the same way AI will potentially be disruptive. The ongoing improvements in gross margin obviously reflect ongoing digitization and that which is always more profitable than offline research and ongoing automation. We are investing, of course, that money to be ready in things like AI, and we have a number of transformation initiatives that are absorbing more cash as we laid out in our plan in 2022. But those put us, I think, in a stronger position in the future. And I think the other challenge with AI is that at the moment, we are seeing productivity gains, but it -- and it applies actually to many people in this room. You can -- we're probably getting productivity gains of 10%, but there will be a tipping point at some point in the future with this technology where it will go much higher. And that's when you should start to come back to me in 2 years' time, and we will talk about it then on that one, Emmanuel. What was the third question?
Emmanuel Matot : Trump administration...
Ben Page: Mr. Trump. I think -- I mean, one of the things about our business is that compared to some of the major U.S.-based competitors who are also working for the U.S. federal government, but also obviously, many other parts of the public sector in the United States is that in some ways, we've got a more balanced portfolio than some of the competitors that we have because our public affairs business in America is looking at social issues, is looking at attitudes of Americans to Trump, et cetera, where the media remain avid clients and our polling business actually inside public affairs performed very strongly. And so I think the profile of the work may change, but the need to understand what's going on in society, I think, is absolutely still there. And in some ways, compared to some of the bigger competitors in that space that we have in the U.S. we're actually relatively protected. Our work is heavily concentrated in the military area in that space. And we suspect that although Elon Musk says he's going to eviscerate the Pentagon, somehow that may not quite happen.
Emmanuel Matot : And are you still considering acquisitions in that segment of significant sales in the U.S.?
Ben Page: If we find the -- in the same way that we have recently purchased Infas in Germany, which filled a gap. It was the German leader in that space. We will -- we are looking at it. Obviously, we want to pay the right price. We will have to make our judgment. But I think the other thing to say about government in America is remember, there's the federal government, which is huge, but there are also the states and it's a much more -- it's a federal system. It's not a central system like in the U.K. where I come from. And as a result, places like California, which is about the size of France, remains very distinct and very interested in research in many of these sorts of issues. So it's a complex picture is what I would say. But I think if there is something decently priced and we can see which way the direction of travel is, we would still be interested, yes.
Operator: The question from the conference call is from Marie-Line Fort with Bernstein.
Marie-Line Fort: Thank you to all for the presentation. I've got 2 questions. The first one is on your organic growth guidance. On what basis did you build this superior organic growth assumption versus 2024? What will be the potential phasing? And what visibility do you have at this stage? The second question is about acquisition bolt-on. What is the impact on your sales you projected for the 3 acquisitions you made in 2024? And will this acquisition will be dilutive on your margin neutral, accretive? Any comments you can share with us would be helpful.
Dan Levy: Yes. So on the first one, I think I replied to that a bit earlier. So obviously, we have an average maturity of contract, which is a few months. So our visibility of what's going to happen typically in H2 2025 is absolutely limited. But what we expect, given the fact that we have the comparison with 2024 and the fact, again, that the profile of 2024 was more downwards, we expect a profile in 2025, which would be more favorable in H2 2025. As on top of the fact that, obviously, we're also expecting some rebound on some improvements in our U.S. business. So the phasing would be basically improvement throughout the year quarter after quarter. I think that's a reasonable assumption to make at this stage. On the acquisitions, it's nearly public actually because the turnover of Infas is public because it was a listed company. The other 2 acquisitions that we have made are smaller. And so it's roughly EUR 60 million that will be added in terms of revenue with the 3 acquisitions. It's part of them and particularly Infas might be slightly dilutive on the margin temporarily because the current profitability of Infas is lower than the average of Ipsos Group. Obviously, we are going to make what we need to do what we need to do to improve the profitability, but it might be indeed slightly dilutive in 2025.
Ben Page: And I'd just add on the outlook for 2024, it's really heavily weighted by what we believe should happen in the United States because it's such a large part of our business and that we've made enough changes there to really see a different trajectory.
Anna Patrice: Thank you for all the information provided. This is Anna Patrice from Berenberg. A few questions from my side. One is a follow-up on the health care in the U.S. You said that you know what should be done and improved. Can you share a bit more details what you're planning to do there? And when do you expect to see some results? Second question on public services because that was also an area with some weakness. So any comments here? Is it just macro? Is it just the market? Do you see any improvements? On M&A, the third question, just a follow-up from the previous. How do you see the pipeline? So do you see that there are lots of things happening? What are the price expectations? And what do you think about the potential synergies? So is it easy to get some cross-sell synergies? Is it easy to get some cost synergies? So any more details here? And then the last question will be again a bit of the follow-up on the previous -- from the previous lady. We understand that Q1 will have the toughest comps. We've seen some acceleration in the decline in organic growth from Q3 to Q4. So should we expect Q1 to be kind of in the same trends as Q4 2024? Should we already see some improvement? I expect that you already see -- you have already some visibility on Q1. So any comments here will be great.
Ben Page: Well, I mean, I think, first of all, if you look at our public affairs and health care businesses in the U.S., one of the things on spending some time there, and I spent some -- about 4 to 6 weeks there last year, it's very clear that we were not proactive enough to be quite honest, in terms of client engagement and our go-to-market approach without being too transparent. There was a much -- a need for much, much stronger go-to-market activity. And I think in both cases, those businesses had seen a good history of growth. And if I'm honest, the people had got used to that growth and without being hungry enough for business development because this is ultimately a people business. And so -- and particularly when it's dependent on a few very, very large contracts, that can -- the presence of those contracts until they stop, of course, masks what's going underneath it. It's a very clear lesson, quite frankly. So there's a whole range of initiatives and activities going on, much, much more outbound activity in Washington. We've got one of the most senior officials actually from the Veterans Agency who's joined us and is incredibly well networked in Washington. Also somebody who is one of the leaders of marketing for government in IBM and Microsoft. And that, I think, just is a total change of tone in those businesses. Dan, do you want to?
Dan Levy: Yes. On M&A, so on the pipeline, we have currently around 20 targets that we look at. Some of them are very early stage. Some of them are not going to happen. Some of them are quite advanced. I would say in terms of price expectation, if I compare the situation with maybe 2 years ago, probably the situation is a bit better for us because the price have tended to decrease significantly, particularly on the tech. It can be still very expensive, but I mean, compared to what the prices were 2 years ago, it has been a bit more -- probably a bit more reasonable. And also to an extent, the increase in interest rates have helped us because it means that some private equity funds, which need to be indebted to buy the company are probably a bit less present than they used to be 2 or 3 years ago. In terms of synergy, obviously, if you take the example of the last acquisition that we did, there are very obvious cost synergies, for instance, on Infas. And there are also revenue synergies given the fact that most of the time, we acquire companies which are -- which have some expertise in their field and to whom we can make benefit the broad range of clients of Ipsos. In terms of the Q1 expectation, I'm not going to be more precise than what I said before, first of all, because I mean, it's probably too early to answer that.
Ben Page: We don't have February's numbers.
Dan Levy: And second, because I cannot say anymore. But again, what I would say is we would expect a pattern in the year with more favorable H2 than H1.
Unidentified Analyst: I have a question on the U.K. market. So you have a very strong presence there. So can you give us some color of which trends are you seeing there, both in public and private sector?
Ben Page: So we -- last year in the public sector in the U.K., the election, which was called early by the former Conservative government slightly earlier than they needed to in terms of the rules was a surprise. We were expecting it later in the year. And it meant that, of course, for the whole month of June, there was virtually no revenue in that business because government just shuts down during an election campaign, which is always why you expect to see with our public affairs business in a country that has a major general election, what you will see generally is some suffering in the year of the election just because of the slowdown. They then need to work out what they want to do. This government has taken a little bit longer I mean the British government has seen that one of the sharpest falls in popularity of any incoming government that we've ever measured, which is quite surprising given the level of victory that they achieved in the July General Election. But now, of course, they're starting to get their missions straightened out. We can see that starting to come back. But overall, I think the U.K. is -- it's a little bit like France in the sense that there is uncertainty. There's plenty of competition. So it's -- and we're a very strong business. We have lots of innovative offers, but it's -- the economy is still uncertain. The tax rises that the U.K. government has imposed on business on the cost of employment look to be having -- putting a drag on the economy. So again, I think it's difficult to be very, very optimistic in the short term about that. But the fundamentals of the business are incredibly strong.
Operator: We have another conference call from Eric Blain with Finance Connect.
Eric Blain: Just 2 follow-up questions first is, to be [indiscernible] fair, don't you think that there is a trend -- general trend in the world in decreasing spending? And I know that you make business more efficient. But is this business with a nice picture in your mind still? And the second question is a follow-up is EUR 60 million of sales we have to increase to add to 2025, that's the total acquisition and we can put the EUR 39 million of cost of acquisition in front of us. And my last question is about shareholding. Can you make a point on the shareholding and if there is any change in auto control?
Ben Page: So, one, I think overall, if you look at the macro trend on government for the last pretty much 50 years, it's actually been, of course, an increasing size of the state virtually everywhere because as societies get more complex and living standards globally rise, expectations of public services also rise. So yes, of course, there's turbulence. Yes, there's sometimes retrenchment. But I mean, just to give you the example from the U.K., where from when I come, we saw in 2010 when the -- under labor from 1997 to 2010, obviously, we saw ongoing growth and expansion, a doubling of expenditure on the National Health Service, which we benefited from. The Conservative government comes in, in 2010 and obviously wants to cut public spending in the post global financial crisis environment that Britain found itself in. But actually, spending with us actually grew -- and the reason was that, of course, the pressure to deliver to make sure that the money that you're spending is actually making a difference, is having a real impact in the real world becomes interestingly even more important. One of the fastest-growing parts of our public affairs business at a global level is not just research about what people think about things, it's actually a valuation research. And there will be -- you can see a scenario. And in fact, in the U.K., it's virtually come true where in the end, the majority of the business won't be just classic opinion polling, but will actually be very detailed economic modeling coupled with research to assess the actual impact of real-world initiatives. And so for those reasons, I don't -- I still believe that -- and particularly because many governments are still relatively undeveloped in their use of these types of techniques compared to the private sector. I believe that there is still growth in government and in the public sector.
Dan Levy: On your question on acquisition, thank you for asking the question because maybe I was not clear in my previous answer. So the EUR 60 million to EUR 70 million I was mentioning is the -- again, it's nearly public because it's mainly Infas. So it's basically the revenue that is added with the 3 acquisitions that we did in 2025, which are Infas, Whereto Research and Ipec that we announced yesterday. So that's the 3 of them. And now the EUR 39 million that I was referring when I was commenting the account is the amount of money that we spent in 2024, mainly for the acquisitions of Jarmany and I&O. So there is no link between the 2 numbers.
Eric Blain : We can have a link?
Ben Page: What was that? Sorry?
Eric Blain : Is it -- how -- can you give us an idea about the EUR 60 million -- the price of the EUR 60 million you have paid?
Dan Levy: No, we are not communicating on prices. But again, the -- because most of it is Infas and it's public, the price is roughly around 1x the revenue on Infas specifically.
Eric Blain : With less profitability?
Dan Levy: All of this is public because it's a listed company.
Eric Blain : And about shareholding?
Ben Page: On shareholding, no particular -- no, the evolution, nothing unusual or we have quite a substantial number of long-term investors, but that doesn't -- we're not seeing -- I don't think I'm seeing any change in that.
Dan Levy: Not particularly.
Eric Blain : And auto control is at what level right now?
Dan Levy: Control, sorry?
Eric Blain : Auto control sorry -- the share you own, what percentage of the shareholding is it right now?
Dan Levy: The auto control, you mean?
Eric Blain : Yes.
Dan Levy: It's very limited.
Eric Blain : Okay. So share buyback is only for free shares?
Dan Levy: So again, the share buyback we are doing currently is for the free share program that we do for our own employees. And as I said before, we might consider some share buyback with a view of canceling the shares if the acquisition program doesn't materialize as quickly as we expect.
Unidentified Analyst: I have an additional question. Given your very strong balance sheet, do you see any potential major acquisition? So now you are doing some smaller sized acquisition, given now we are net debt close to 0. Any potential to some more consolidation in the market?
Ben Page: I think we obviously -- we don't talk about ongoing processes. But yes, of course, we want to -- because we have the firepower and because we have a vision for growth, and we believe that acquisitions, of course, are what has built this company. We would like to -- we certainly would look at opportunities that would consolidate would be good bolt-ons or that would add new talents and technology to the group. And so we have -- at any one time, we are looking at 20 or 30 different situations. So the appetite is more for that than share buybacks, to be quite honest. Thank you very much, everybody. See you or some of you in April for our first quarter results.
Dan Levy: Thank you.